Operator: Welcome to the Fourth Quarter 2020 Earnings Conference Call. My name is Darryl, and I'll be your operator for today's call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. [Operator Instructions] Please note that this conference is being recorded. I would now like to turn the call over to David Ritchie. David, you may begin.
David Ritchie: Thank you. Good afternoon, everyone. Nice to be with you. This is Dave Ritchie, President and CEO of American River Bankshares, the parent company of American River Bank, headquartered in Rancho Cordova, California. This is our fourth quarter 2020 update. You should be aware that our earnings release, which details our quarterly and year-end results went out at market opening today. Last week, we also announced our quarterly cash dividend payment for the next month. We did include some economic data in the press release. In general, positive trends continue in our markets with the state reopening and the vaccinations being distributed. Now I'd like to talk a little bit about the company. I just want to tell you how proud I am of this company and the people that work here. It was a tough year. American River Bank generated really strong results for the full-year, despite the low interest rate environment, the pandemic and the shelter-in-place orders. We will continue to make progress and we do continue to make progress living in a state of disruption for a bit longer, so flexibility remains paramount. We did a terrific job with the loan deferrals. We were an early adopter of the program and it truly helped our borrowers in their time of need. The PPP campaign was very successful. There were 470 loans were made for around $80 million. Again, our focus was on our clients and the communities we serve. We are participating around two of the program. We are taking applications. The volume has been much less than it was last year, again, focusing on taking care of our clients. We continue to provide support as clients apply for forgiveness, providing them with the information necessarily to help them maximize their opportunity for forgiveness. Our credit quality has held up really well. I am optimistic about the credit quality going into the year. Our deferrals, which we did a lot in the beginning, are the deferrals for the most part have expired and the compliance of back paying is agreed. Core loan growth, pretty good given the distractions last year at 6.6%. The third and fourth quarter’s loan productions were positive, returning back to similar levels in prior years. I would like to make a comment on that. This organization has a 100 or so employees. Last year, we booked 851 loans. And if you think about that that's a hell of a lot of loans. We did 27 new C&I loans, 50 real estate loans, 474 PPP loans and we did 200 of our auto portfolio loans, plus we did 98 extensions. So amazing accomplishment I think for this organization. On the deposit side, again, growing deposits, not that we are pretty familiar with that. And I thought it was interesting. We opened over a 1,000 new accounts last year. And since opening those accounts, the deposits on those particular accounts has grown by $37 million. So another great effort speaks to our client service. I think we are well reserved. Capital liquidity is very strong, and we believe we did a terrific job in 2020 and are very proud of the efforts of the team. We take care of clients and we deliver to our shareholders. We believe we are well positioned heading into 2021. Now with that, I will turn the call over to Mitch Derenzo to give you an in-depth review of our financial results.
Mitchell Derenzo: Thank you, Dave, and of course, thanks to all of you for taking the time to listen in on the call this afternoon. Before we get started, let me remind everyone of our safe harbor disclosures. Certain matters discussed in this presentation may constitute forward-looking statements, the purposes of the federal securities laws and may involve risks and uncertainties. Actual results may differ materially from the results in these forward-looking statements. Factors that might cause such a difference are discussed in the Company’s annual report on Form 10-K for the year ended December 31, 2019, and our subsequent filed on Form 10-Q and Form 8-K. The Company does not undertake any obligation to publicly update or revise any of these forward-looking statements, which would include information or future events, except as required by law. The links to this annual report and our Form 10-K are located on our website, americanriverbank.com. As with past conference calls, I'm going to highlight some of the key areas from our press release that Dave mentioned that went out this morning, also going to try to provide some additional details and analysis. Then we'll open up the lines for questions. This morning, American River Bank reported net income of $2.1 million for the fourth quarter of 2020. That's up from $1.5 million for the fourth quarter 2019. That's a 40% increase. Earnings per share were $0.36 in the fourth quarter of 2020 compared to 26% in the fourth quarter of 2019. That's a 39% increase. ROA and ROE for the quarter were 96 basis points and 9.12%, respectively. That's up from 82 basis points and 7.22%, respectively, one year-ago. On a year-to-date basis, net income for 2020 was $7.1 million. That's a $1.20 a share that compares to $5.5 million or $0.94 a share in 2019. On a pretax pre-provision basis, net income in 2020 was $11.1 million. That’s an increase of $3 million or about 38% over the $8.1 million reported for 2019. Despite the significant rate drops as a result of the FOMC actions this year, our margin held up fairly well. For the full-year 2020, the yield on loans was 4.8% that compares to 4.95% in 2019. Overall, our cost of deposits decreased from 35 basis points in 2019 to just 18 basis points in 2020. Resulting net interest margin was 3.52% in 2020. That's slightly down from 3.6% in 2019. Of course, the loan yields were somewhat impacted by the Paycheck Protection Program loans, those loans had a yield of 3.86% for 2020. I'll get a little deeper into PPP loans in this next section that I call pandemic response section. The three areas that I’ll cover in this pandemic response section are PPP loans, our loan deferrals, and our exposure to industry segments most impacted by the pandemic. For the PPP loans, last quarter, we reported that as of September 30, we had 473 PPP loans, totaling $75.8 million, and unaccreted fees and costs were $1.6 million. We did open up the forgiveness portal in the fourth quarter and we set some pretty – quite a bit of success as Dave mentioned. As of December 31, we were down to 352 loans remaining, totaling $55.5 million and unaccreted fees and costs were $1.1 million. Included in this remaining balance, there is 21 loans, totaling about $145,000 that were economic injury disaster loans. The loans were forgiven, but the SBA held back those EIDL grants. And as we know now, those will be forgiven because of the new – the recent stimulus program. Of the remaining 352 loans, 273 of those were about 78%, 70% have balances less than $150,000, and those will have access to the streamlined forgiveness process. So we are anticipating those will go out the door pretty quickly. For the quarter and year-to-date, we recognized fees of $521,000 and $1.3 million respectively on the PPP loans, that’s PPP fees. The interest on those PPP loans were $170,000 during the quarter and $502,000 for the year 2020. Dave mentioned the new program, the new PPP program. Last week we did open the portal. Again, begin processing loan applications and we've already been approved. And some of those loans are in documentation. Again, as Dave mentioned, the initial rush wasn't quite as significant as the program implemented in the second quarter of last year. On to the deferrals. We initially reported June 30 that we had over 100 deferrals, totaling about $96.5 million. That was about a quarter of our loans outstanding in dollars. At the end of September, we had that reduced to $35 million or $38.3 million. And I also indicated that a lot of those loans would come up for payment that the deferral would expire in the fourth quarter. And I'm very pleased to announce that these borrowers did begin making their payments in the fourth quarter with the exception of two. One was a $25,000 commercial loan, we charged that off. Another one was a $3.6 million CRE loan where the barrower requested another deferral. That deferral was – we deferred it to mid-January, and I'm happy to announce that that borrower didn't make their payment this week. So as of December 31, we had just two deferrals. One of them was a $3.6 million loan I just talked about and the other one was a $1.3 million CRE loan. That's a six-month interest-only plan. And I'm happy to announce that those – they are current to this temporary terms; they are making their interest payments. So I think we are doing that very well on the deferrals and I am excited about that. Last week, our exposure to the industry is most impacted by the pandemic. I'm going to report these outstanding balances with the percentages of our loans to non-PPP loans. So churches at the end of December were $22 million or 5.3% of our outstanding loans. That actually was an increase of $4 million during the quarter. Those were construction loans and they're substantially funded, just some draws on those. Restaurants $5.8 million or 1.4%; the elder care, that’s $6.5 billion or 1.5%; school/ childcare, $5.2 million or 1.2%; our recreation, which is golfs and sports clubs, $1.8 million or just 0.4%; the oil and gas was $8.6 million or 2%. They considered oil and gas, but again, these loans are the gas stations and related businesses, oil change facilities, maybe it’s a gas station with a carwash or convenience stores. This section also increased during the quarter by $2.4 million. We did make two loans to one borrower. One of those loans is secured by a gas station and the other is to carwash. Also this quarter, I'm adding a new sector, hospitality. Previously reporting, we had zero balances in that sector. We did add during this quarter an SBA 504 through a value level chain motel. The balance was $1.8 million or 0.4% of our outstanding loans. Once the SBA debenture is sold, our balance will be reduced by 50%. It will still remain in first position there. The uncertainty of the overall impact to COVID on our borrowers, the deferrals, length of shelter-in-place, the vaccination distribution, et cetera, et cetera, does still warrant an increase in our loan loss allowance. For the year, we did add $1.5 million, that’s up from $660,000 in 2019. For the fourth quarter, the provisions were just $35,000 despite the increase in the non-PPP loans during the quarter. We did benefit from a decrease in the construction sector from about $30.5 million at the end of September down to $18.4 million. So that’s $12 million decrease. Because those construction loans historically carry a higher – greater risk of loss, we were able to reduce our reserves in that sector. That reduction then allowed us to add for the growth in the portfolio still only happened to add the total net of the $35,000. The allowance to ALLL to loans, excluding the PPP is 1.56% at December 30, 2020. That's up from 1.29% at December 31, 2019. On a side note, you maybe aware that California did relax in shelter-in-place order earlier this week. Our governor released the remaining regions of the state from the order that had been in place since early December. The reason I'm in right now, the Sacramento region had been released as of January 12, but now the entire state has been released. This will put us back on the color-coated program that had been in place prior to this most recent order in December. And really all reports say that the virus continues to spread just at a slower pace in our state. Basically what this reopening allows us to do is some businesses can reopen. For example, restaurants can reopen outdoor dining, but no indoor dining just yet. And then the [indiscernible] can reopen indoors, so definitely some positive happenings in our marketplace. As I reported just a few minutes ago, we don't have a lot of business in these sectors, but it's great for our overall economy. On to the balance sheet. Start with the loans, net loans outstanding, excluding the PPP loans increased $20 million during the fourth quarter. That's just under a 5% increase for the quarter. Year-to-date net loans excluding the PPP loans increased to $25.1 million, that's over 6% increase. Fourth quarter on new loans, we did put on $40.7 million of new loans that compares to $33.2 million in the third quarter of 2020, and that’s just over $40 million in the fourth quarter of 2019. So what Dave said, our last couple of quarters have got us back on track to where we were in, say, got 2019 after a couple of down quarters this first part of 2020, it was due to the slowdown from the pandemic. Year-to-date loan fundings in 2020 were $104 million. So you can see – again, most of that was in the last two quarters. That compares to 2019 total fundings of just under $150 million. Our total unused commitments at the end of the year were just under $33 million, but $20 million of that was commercial line, so they have the ability to evolve. But the rest of that $33 million is real estate related and should fund over the next year or so. Payoffs did drop to a normal run rate in the fourth quarter. They were $8.5 million compared to say $15.5 million in the third quarter of 2020. Those payoffs do add prepayment penalties. We collected $120,000 in pre-payment fees in the fourth quarter. That compares to $74,000 in the fourth quarter of last year. On a year-to-date basis, we collected $466,000 prepayment penalties compared to $231,000 in all of 2019. Dave mentioned credit as well. I think it's looking pretty well. We didn't have any non-accrued loans or any loans past due 30 days at December 31, 2020. Earlier, I did mention the additions to the allowance of $1.5 million. We did have $23,000 in net charge-offs in the fourth quarter of this year. Again, that was the loan I mentioned earlier on the – that was deferred. Last year we had $4,000 in recoveries, sort of comparison there. So for the entire year, we had just $30,000 in net charge-offs compared to $86,000 in recoveries in 2019. So looking back over 2020, I am pleased that it was just a low number, such as $30,000.  Our classified equity is still strong at 2.6% and really we have one OREO property about $800,000, and then two commercial loans, both of those totaling at $1.2 million. So again, relatively low classified assets. On that OREO, we did update – get an updated appraisal during the quarter. We took at that being down by $46,000. So it went from $846,000 down to $800,000. Non-performing assets, that’s really just the OREO. So non-performing assets to total assets is just 9 basis points at December 31, 2020. Loan growth that I mentioned here, primarily real estate is almost $25 million or – $25 million was in real estate area, that’s a 7.6% growth. Commercial loans were down $5.4 million. Again, that excludes PPP. If you add in the PPP, they were down quite a bit more than that. Consumer was up $644,000, that’s our specialty auto portfolio. We did 42 new loans in that sector. The average was about $61,000. Just for comparison, we did 51 of those in the third quarter of 2020, and the average of those was $117,000. The growth in the real estate was primarily in CRE, which increased $26.2 million. Some of that was the construction loans rolling into term loans that I mentioned earlier. The average rate on the new loans was $41 million is still holding up pretty well, where average was 4.48%. We also renewed a little over $10 million in the quarter, those average 4.98%. Investment portfolio really the same. It did grow quite a bit during the quarter as we put some cash to work. But really, it's well-structured cash flow and mortgage products mixed in there with a few high credit quality muni bonds. Portfolio still remains relatively short. The average life of the entire portfolio is just under 4%, and the effective duration of the entire portfolio is still low at 2.3 years. And then our exposure to rates up 300 is just 9.3%. On the liabilities, deposits, great year for deposits as we all know. But we did continue to grow in the fourth quarter. We had a $15.3 million increase, and then year-over-year, we're up $139.4 million. That's a 23% year-over-year increase. Our non-interest bearing deposits at 12/31/2020 were 44.4% of the entire deposit portfolio. And our cost is dropping as well. The average cost of funds decreased from 29 basis points in the third quarter of 2020 to 23 basis points in the fourth quarter. In comparing that to the fourth quarter of 2019, they're down from 60 basis points. And if you factor in the overall cost of deposits, those also decreased during that same timeframe. For the third quarter of 2020, they were 14 basis points, that dropped to 11 basis points in the fourth quarter of 2020. Comparing that to the fourth quarter of 2019, they were 33 basis points, so quite a bit of a drop there. And if you plot the CEs, the average cost of our deposits in the fourth quarter, which is 16 basis points, that's down from 15 basis points in the fourth quarter of 2019. Capital levels remain strong. The capital balance itself actually increased from just under $83 million a year ago to just over $93 million at December 31, 2020. That $10.3 million increase, of course, came from the net income of $7.1 million. We had a $4.4 million increase in our other comprehensive income. To net that out, we paid $1.7 million in dividends, and then we had $400,000 increase primarily to equity compensation. Our tangible book value per share was $12.93 at the end of the year and the book value was $15.68. And if you try to calculate these amounts on your own, you may have come up with something slightly different as the total shares in the table had an incorrect amount. The actual shares outstanding at December 31 was 5,937,529, repeat that again, 5,937,529. It wasn't the number reported in the press release. That was actually the 12/31 balance – 12/31/19 balance. It just didn't get rolled forward. So I apologize for that number, but you have the right number now. The capital ratios, leverage ratio, 8.3%. Total risk-based 16.2%, those actually dropped a little bit. Actually the leverage ratio dropped a little bit from last year, we were at 9.2% and that's really the increase in the balance sheet decrease that leverage ratio. Some brief comments on the income statement. Non-interest income, really not much here. We were down about $160,000 year-over-year, lower fees from service charges and gains on sale were down as well. Of course, the lower service charges like I reported in the past. Return checks were down with the higher average balance in our client checking accounts. There's been just a lot lower level of checks causing overdrawn balances. That's a good thing. Non-interest expense increased $13,000 for the fourth quarter of 2019 and the fourth quarter of 2020. Really the big area there is the FDIC, that increased from zero in the fourth quarter last year to $69,000 in the fourth quarter this year. And that's really relates to the FDIC small bank assessment credits that we received in 2019. The year-to-date numbers, $46,000. I'm sorry, the other item that changed quarter-to-quarter was the OREO expense that actually decreased and that's really the write-down. So this year we had a write-down of $46,000 on a OREO property. In the fourth quarter of 2019, we had $110,000 write-down there, so there is a big delta, just different appraisals. On a year-to-date basis, non-interest expense actually decreased to $133,000. It was a primary driver being in the salary and benefit line item. And that's the deferral of the direct loan costs that we've been talking about this year, over the last three quarters. Salaries and benefits were down $114,000. With the salary piece, actually, just core salaries, that’s up $18,000 year-over-year less than 1%, so minimal there. The true change is the loan origination costs. Those were up $314,000, and those relate to the PPP loans, and those are actually a reduction of our expense. So that reduction of $314,000 was actually offset somewhat by the $18,000 increase in salaries that I just mentioned. Higher costs to our vacation accrual was $71,000 there. People just don’t take their vacation that they can't go anywhere. And then some higher equity cost of about $73,000 and higher incentive accrual, those were up $93,000. FDIC expense, again, up year-over-year. We received credits in the last two quarters of 2019 and have a very minimal credit in the first quarter of 2020. So that's the reason for the increase there. The decrease in non-interest expense year-over-year is also due to a decrease in other expenses of $149,000 from 2019 to 2020. Again, that area includes a lot of things, that the other includes a lot and that's our advertising, insurance, director fees, telephone, et cetera. But the big category that we've been talking about that’s changing year-over-year is the advertising and business development that decreased – it was $600,000 last year – sorry, 2019 dropped to $244,000 – then dropped by $244,000 down to $336,000 in 2020. Again, that's the shelter-in-place, reducing the number of business development opportunities and our sponsorships, et cetera. Partially offsetting that decrease is our – we did implement that new internet banking system. I talked about it earlier this year. So there's some additional cost there that went up 57 – I'm sorry, that went up $90,000. And then again, pointing out that our director fees did go up this year were up $57,000, that’s related to that non-recurring amounts. One of the directors that passed away, we did the full accrual expense on the future payment stream, that was about $70,000. Lastly, taxes. Of course, those did go up. You have a higher level of taxable income. You're going to have a higher level of taxes. We also benefit from the equity comp, was not a benefit this year. It was a benefit last year. $34,000 of benefit in 2019, 2020, we had $39,000 of taxable expense related to the equity comp. So net-net, our effective tax rate did increase from 25.6% in 2019 to 26.6% in 2020. Thank you. And now Darryl, I'd ask you to open up the lines for questions.
Operator: [Operator Instructions] And our first question comes from Nick Cucharale. Go ahead, Nick.
Nicholas Cucharale: Good day, gentlemen. Hope you're doing well.
David Ritchie: Hey, Nick.
Mitchell Derenzo: Nick, thanks.
Nicholas Cucharale: So I wanted to start on the strong loan growth this quarter. First, were the new credits coming from newer existing customers? And then secondly, can you give us some color on the competitive dynamics in your markets?
David Ritchie: To your first question, both, I mean, we had some new stuff and then we had some additional loans to existing clients. So that answers that. But yes, I think it's competitive. I mean, I think it's very competitive, especially as you look at – well, I think the way I look at it Nick, is that we're looking at it real hard. The stuff that’s especially coming up and maturing or if you have your prepays are running down to 1% or so, we're attacking those because we want to stay in front of the clients. And hopefully if they would like to stay with us and we'd like them to stay with us, we’re going to renew them. But I think it's just – I mean, I don't see it being uncompetitive. I think it's not just because competitive as always been. I mean the Sacramento market is, despite all the negative out there, I think is still a pretty good market for certain types of loans.
Mitchell Derenzo: And really, to add on to that, we've definitely benefited from the pandemic.
David Ritchie: We're a big bank.
Mitchell Derenzo: There's more people coming to Sacramento. If you can work from home, why live in the Bay area and pay two to three times as much for a place to live. So the real estate market here is just real estate market. The residential real estate market is pretty strong.
Nicholas Cucharale: That's great. And then given the strong close to 2020, I mean, you've got some good momentum headed into this year. Certainly a fluid environment, but what type of loan growth are you targeting in 2021?
Mitchell Derenzo: The last year or so we've been talking about double-digits. It's got to be less than that this year. We've got a decent pipeline, but there's a lot of pressure. Dave, do you want to…
David Ritchie: Yes. I think there's a decent pipeline, but I think the real challenges is, as you have, as I was saying maturities and things like that. We had $45 million in loan payoffs last year. I mean, if you are unable to keep them probably at lower rates, as we all would agree, if you're unable to keep them, it's going to make it very difficult to show real positive growth. So I think it's a little tough to tell you exactly. But I agree with Mitch. We've been on a pretty heavy growth plan here for the last three years and pushing double-digits. I mean, I'd probably be happy to be a little south of 10%, I mean, somewhere in that 6% to 8% range would probably make me feel good.
Mitchell Derenzo: Yes. Nick, as you would expect, I know you're trying to do – you're trying to figure out what the loan interest income is going to be. It's tough. I think there's going to be more pressure on the rate we're getting mainly through the growth. Even if we are successful in growing 8%, we are going to be at lower rates. There's a lot of – you talked about competition. There's a lot of cash still in the system here. We're getting less than a point on our investment portfolio. So I'm thinking that banks would rather drop that rate to go down to 3.5%. I did report for the quarter, we still have some pretty good yields. Our budgeting processes for 2021 is that those yields. We’re not going to get 4.5% on our loans. Does that helps?
Nicholas Cucharale: Yes. Thanks. I appreciate the additional disclosure on PPP Mitch. If I heard you correctly, you gave the fee impact in the quarter and the year-to-date for 2020. Do you have the NIM impact of PPP in the third and fourth quarters? I'm just trying to ascertain how much of the sequential rise was related to PPP?
Mitchell Derenzo: Nick, I didn't calculate that, but I did calculated the average – the average earnings yield on those were [36] for the year. I didn't calculate that. I didn't pull those out this year.
Nicholas Cucharale: No problem, just to be headed up in. And then, lastly, some typical seasonality in the expense base in the first quarter. Can you just help us think about a run rate and how you're viewing the expense base longer-term?
Mitchell Derenzo: You said the first quarter or during in the fourth quarter?
Nicholas Cucharale: Yes. Typically, you have some seasonality in the first quarter with some seasonal increases and so forth. I'm just trying to kind of in a run rate going forward?
Mitchell Derenzo: Yes. We have salary increases in the first quarter. It is a shorter month and days. So the interest income is down. As far as the – I don't anticipate many new hires in the first quarter. So the salary line should be fairly consistent. Comparing it to the fourth quarter, the fourth quarter, we tend to true up the incentives as we have a better idea what the income is going to be for the year because our – the staff incentive is based on income. So I don't see too many changes in the first quarter compared to the fourth quarter.
Nicholas Cucharale: Thanks for taking my questions.
Mitchell Derenzo: Sure.
Operator: [Operator Instructions] And our next question comes from Tim Coffey. Go ahead, Tim.
Timothy Coffey: Great. Thank you. Good afternoon, gentlemen.
Mitchell Derenzo: Hi, Tim.
David Ritchie: Hi, Tim.
Timothy Coffey: Hey guys. So you guys did a great job growing non-interest bearing deposits this year. I mean, for a variety of reasons, those were up significantly. And the ratio of those looks a lot better. Now what's your expectation that you'll be able to hold on to those?
Mitchell Derenzo: We're pretty optimistic. I spent a lot of time with our Head of Retail Banking, challenging her, saying good thing. Where do these come from? How long are they going to be here? Because I like – I think that some of those are going to run out, but I also thought that the PPP loans would come and go or the deposits that went in from the PPP loans would go out as well. There was taxes involved. While people pay their taxes and the deposits still grew. We grew $15 million in the fourth quarter. So I'm optimistic that that these things will stay. There is some pent-up demand that businesses haven't been investing in their future. So there will some decrease there, but we're still – Dave, we picked up on 1,000 new…
David Ritchie: 1,000 new accounts this year. Those aren't necessarily, I can tell you, I mean, some might – Tim been related to PPP, but it's the – something we've talked about first since I've been here is this, I call it this concierge service. I mean, we take great care of the clients. We get referrals. I would – like Mitch said, even in December, I mean, our deposits grew $15 million in one month. And I made a comment earlier in my comments about that, for the year, I mean, 1,000 accounts and the initial deposits were somewhere in the $20 million range and they're up $37.9 million. I don't think that's – I mean I think that's pretty good for us. And I think we've been challenging this deposit thing for three or four months, and we don't – we haven't come up with any reason to feel like they're all going to run out the door.
Mitchell Derenzo: Right. We’re not going to have another 23% growth. We're not running around [indiscernible] in here. But we feel pretty good with what we brought in a pretty good relationship.
David Ritchie: Once you get too excited.
Timothy Coffey: No, I remember after the financial crisis, there was expectation that we'd see a dropdown in liquidity that built throughout that period. And there really wasn't. So I think it's possible it's going to stick around as well. And so what does that mean for your margin then? I mean, it seems like you might be having a bit more liquidity on balance sheet.
Mitchell Derenzo: Well, if you look at our year-end balance sheet, we have a ton of – in my opinion, way too much in our investment portfolio, they can very well yield. So really, our challenge is going to be to continue to put that out in loans. We have $55 million of PPP loans in the – at the end of the year. Those are going to be forgiven. We kind of think that those will come back over the next six months. But we also have another PPP loan program going here, which both Dave and I mentioned, we don't think it will be as strong as that. But those loans, despite that 1% yield on them, with the feeds and the quickness of forgiveness, those can create some positive bumps to our NIM. And again, it's how quickly can we get that cash moved into really out of security, so we did – I think we did a pretty good job of moving it into securities by the – in the quarter – in the fourth quarter. I think the portfolio grew by over $40 million in the quarter. But again, the yields we're getting on those are not too exciting. And we're not going to take risks with, going out 15, 20 years to go out on the curve there. We still believe that our bread and butter is the loan portfolio. So we want to keep that available to fund the loans.
Timothy Coffey: Okay. All right. Those are my questions. Thank you very much.
David Ritchie: Thanks, Tim.
Operator: And we have no more questions at this time. I'd like to turn the call over to David Ritchie to close the call.
David Ritchie: Thank you very much, everyone, for listening. We appreciate your support and we'll be talking to you next quarter. Thanks again.
Mitchell Derenzo: Thanks a lot.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. Thank you for participating. You may now disconnect.